Company Representatives: Mark Rourke - President, Chief Executive Officer Steve Bruffett - Executive Vice President, Chief Financial Officer Steve Bindas - Director of Investor Relations
Operator: Greetings, and welcome to the Schneider earnings call. At this time, all participants are in a listen-only mode. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Steve Bindas, Director of IR. 
Steve Bindas: Thank you, operator, and good morning everyone. Joining me on the call today are Mark Rourke, President and Chief Executive Officer; and Steve Bruffett, Executive Vice President and Chief Financial Officer.  Earlier today, the company issued an earnings press release, which is available on the Investor Relations section of our website at www.schneider.com. Our call will include remarks about future expectations, forecasts, plans and prospects for Schneider, which constitute forward-looking statements for the purposes of the safe harbor provisions under applicable federal securities laws.  Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties discussed in our SEC filings, including, but not limited to our most recent Form 10-K and those risks identified in today’s earnings release.  All forward-looking statements are made as of the date of this call, and Schneider disclaims any duty to update such statements, except as required by law. In addition, pursuant to Regulation G, a reconciliation of any non-GAAP financial measures referenced during today’s call can be found in our earnings release, which includes reconciliations to the most directly comparable GAAP measures. Now I’d like to turn the call over to our CEO, Mark Rourke. Mark.
Mark Rourke: Thank you, Steve. Hello, everyone and thank you for joining the Schneider call today. I will open up our dialogue with Schneider context and commentary on our three operating segment results for the second quarter as well as what we expect for the second half of 2021, and into next year.  Before we get to your questions, Steve Bruffett will provide some additional insight into our updated full year earnings per share guidance, affirm CapEx range expectations and close out on some brief overall enterprise results commentary.  As you review the second quarter, several things should jump out. First, the Truckload and Intermodal business segments delivered solid sequential margin improvement from the first quarter, with both finishing above the top end of our current long-term margin target ranges.  Secondly, our balanced portfolio demonstrated its value as Logistics revenues grew $200 million over second quarter of a year ago, serving as an offset for some of the driver capacity challenges in our network businesses. This allowed us to provide capacity coverage for our customers, while keeping the freight and the corresponding revenues within the enterprise.  The outcome is consistent with our strategy to leverage our multimodal platform from asset-heavy to asset-light to serve as an aggregator of freight and capacity in supporting the supply chain needs of our shipper community. So let me spend a couple of minutes on each of those and how it serves as a powerful setup for the remainder of 2021 and into 2022, again consistent with our strategy.  In Truckload, our growth focus is on multiyear dedicated contract configurations. Year-over-year, our average tractor count growth was 265 units in the quarter, on 400 units of sales growth. We have experienced less than 1% churn over our portfolio from the second quarter of a year ago, and we are working to get the new start-ups as well as existing business tractor units fully seated in what remains a highly constrained Class A CDL driver market.  In the Network Truckload business, we have invested in a series of compensation plan increases over the last year for our professional drivers in terms of pay rates, as well as delivering productivity gains across our solo driver fleets. We’ve also reopened several of our Schneider’s CDL training academies to develop our own new drivers and we will see the benefits of that work beginning in the mid-third quarter. The expense related to the start-up of that process and priming the new CDL driver pump was born in the second quarter. We are still pushing toward our goal of 5,500 tractors in the network as we highlighted in our last quarter update. We have stayed in front of those investments with great support from our valued shipper base. Truckload Network revenue per tractor per week improved 9% sequentially from the first quarter, and 23% over the second quarter of 2020. All the revenue per tractor increase was yield-related as productivity in the network was flat as company’s total utilization increases were offset by a lower mix of team and owner-operator levels.  In the quarter, network contract rate improvement in the mid-teen, double-digit percentage was realized with the remaining 25% of the book scheduled to be renewed in the third quarter. Our capital efficiency was very solid, considering the uneven cadence of receiving our new tractor deliveries while preparing a high number of units for disposal into a strengthening used equipment market.  Despite the OEM supply challenges, we have received 50% of our full year replacement tractor units at the halfway point of the year. We have reduced our driver to tractor ratios and have limited held for sale inventory, boosting our capital efficiency rates which we intend to continue going forward.  Next, our Intermodal segment is grappling with excess demand beyond what we can successfully move. Intermodal ecosystem, like many areas of the economy are suffering from extended labor challenges. We can see this in our customer data as our customers average unload dwell time has increased 70% from the 2019 comparable period. Additionally, labor shortcomings and freight volumes continue to impact Intermodal ramp congestion in certain critical parts of the network, at times resulting in volume limiting rail allocations.  Finally, we’re not fully seated in company tractor dray fleet at some of our high volume hubs. Despite those meaningful challenges, Intermodal orders improved 5% sequentially from the first quarter and 16% over second quarter of a year ago.  Intermodal, as expected has achieved low double-digit revenue per order increase as nearly 80% of the book has been renewed, although not all completely implemented within the second quarter. We intend to bend our network to give priority to those shippers and consignees who most efficiently and effectively turn our equipment. So we would expect to increase our container terms in the second half of the year.  Our container count grew 5% or a 1,000 containers from a year ago. Our goal is to net up after disposals, another 1,500 to 3,000 containers by year-end, which is dependent on overcoming our equipment manufacturer supply chain delivery challenges, which we are trying to help with.  Finally, our Logistics segment is thriving and growing across its portfolio of services, including contract Logistics, port services, with the largest contributor being brokerage. The segment’s revenues climbed to $430 million from $230 million a year ago or 87% growth. The earnings contribution of the Logistics segment kept pace by doubling over the second quarter of last year.  A combination of market conditions and our continued investments in our people, processes and technology platform of freight power for shippers and carriers are driving the volume and earnings growth performance.  Let me stop there, and I’ll turn it over to Steve before we get to your questions. 
Steve Bruffett: Thank you, Mark. And good morning to everyone on the call. I’ll begin with an overview of our updated guidance for the full year. Our original guidance for adjusted EPS was $1.45 to $1.60, and now our guidance has been raised the second time and sits at $1.85 to $1.95.  At the midpoint of these ranges, this represents an increase of 25%. Inherent in this updated guidance is the expectation for continued strength in market demand, coupled with constrained driver capacity. We expect these conditions throughout the remainder of this year, which also serves as a constructive setup for 2022.  Mark commented on the performance of our service portfolio, and I’ll add that our asset-light segments of Intermodal and Logistics contributed 60% of second quarter revenue and 41% of earnings. We expect these proportions to be similar in the second half of the year. But also note, that we anticipate a relatively even distribution of earnings across the second, third and fourth quarters of this year rather than a seasonal spike in fourth quarter earnings. And this is due to the market strength that’s already in place.  We continue to expect a full year effective tax rate of approximately 25% and are lowering our net CapEx guidance to a range of $325 million to $350 million, and that’s down from our prior guide of $375 million to $425 million. Primary reason for the lower range is higher anticipated proceeds from equipment sales. We expect to receive most of the equipment that we plan for this year, although some of the deliveries could spill over into 2022.  Regarding second quarter results, I’ll just point out a couple of items. First, our income from operations of $126 million was the most profitable quarter in our history, exceeding the fourth quarter of 2018. So, this is a strong milestone for the team, and this achievement reflects a significant amount of effort and coordination by our commercial and operational teams across the service portfolio, and as always, the essential services provided by our valued professional drivers.  The next item, is that our second quarter EPS of $0.60 contained $0.08 of mark-to-market gain from our investment in TuSimple, and this gain is reflected in the other income net line of our income statement. Regarding the balance sheet, just a reminder that we have $100 million in current maturities, that’s composed of a $40 million note maturing in November of this year, and a $60 million note maturing in March of 2022. It’s our intention to repay both notes at maturity, but have ample flexibility if we choose another path with either note.  So with that, we’ll open the call for your questions.
Operator: [Operator Instructions] Our first question is from Chris Wetherbee with Citi. Please proceed.
Chris Wetherbee: Hey, hi, thanks. Good morning guys. Maybe if you could touch on the guidance, the updated guidance for the back half of the year. Steve, I appreciate the comments about, I think flattish type of earnings progression from 2Q through the end of the year. I guess, can you maybe help us a little bit with what your expectations are for the fleet and then maybe the rate environment, particularly for the for-hire segment, but also just sort of generally, when you think about revenue per tractor per week. If you can kind of break down some of the inputs to that, that would be helpful.
Mark Rourke: Chris, this is Mark. And Steve and I, maybe both comment on your question. We are fairly through the book renewal activity contractually in our Intermodal and our for-hire section, but all of it isn’t implemented yet. So, for instance, we still have, we are 80% through the book in Intermodal, but we have about 25% of that. That is implemented very late in the quarter, and so we have that all in front of us in addition to the third quarter renewal. Trucks are little, 5% or 6% better than that. So, we still believe we have, we know we have price appreciation still in front of us contractually.
Steve Bruffett: And, while we’re talking about full year guidance, I’ll go ahead and - you didn’t specifically ask this, but I imagine it’s a question for some about full year guidance, and the TuSimple gain and whether it’s included or not included and how we think about all that.  So, I’ll just go ahead and tackle that upfront. We’re looking at a full year, here when we’re providing this earnings per share guidance and you know TuSimple in particular being a newly public company, we would expect some volatility in their valuation, and that’s not surprising. So who knows, it’s anyone’s guess as to whether there’s a meaningful gain to be had over the course of the full year or not or what that amount would be.  So our full year guidance is not dependent or does not rely upon a gain from either TuSimple or any of the other strategic equity investments that we’ve made. So I just wanted to clarify that aspect of it.
Chris Wetherbee: Okay, that helps. And actually that was going to be one of my follow-up, so I appreciate you tackling that right upfront, that’s very helpful. And then maybe just commenting on the fleet, are we going to be able to see some stabilization in the fleet, particularly on the for-hire side or is that just something that is too difficult to do with where driver wages or availability is at this point?
Mark Rourke: Yes Chris, this is Mark. I would expect that – and we are seeing some stability there, particularly on the solo side, and we’re starting to build back encouragingly in the quarter on the team side as some of the challenges we had last year with COVID and the impact of the team configuration. So we still got our ways to build back there, but the first step is to see some positive number growth, and we saw that in the second quarter.  The other item that perhaps is a little different for us is starting up, and in several parts of the country are Schneider academies for non-CDL holders, and so that process took place largely in the second quarter and we’ll start to see some benefit to that. And that is primarily serving our network in certain dedicated configurations. So that again, another reason why we expect to see some stabilization there and we haven’t given up on making progress toward our 5,500 goal in the network between now and the end of the year. 
Chris Wetherbee: Okay, that’s very helpful. Thank you so much for you time.
Operator: Our next question is from Bert Subin with Stifel, please proceed.
Bert Subin: Hey! Good morning and congrats on the quarter.
Mark Rourke: Good morning Bert.
Bert Subin: It seems like Truckload, Intermodal or Logistics are all performing very well, certainly guidance implying that’s going to continue. Can you just talk about maybe what some of the headwinds and tailwinds are for the rest of this year and into next year? Trying to get a feeling for perhaps what are some of the things that keep you guys up at night, because it seems like you’re firing on all cylinders right now.
Mark Rourke: So the headwinds and tailwinds, the ones that we’ve been grappling with are still – and we expect to grapple with the rest of the year, which certainly centers around the labor component and we’ve taken obviously, I mentioned some actions to try to improve upon that on the driver – the professional driver front.  We are seeing some improvement in the Intermodal flowing of the business. So the big issue on the rail side, and the real big issue is what I mentioned in my opening comments, is trying to get some fluidity into our box count, having a 70% increase in the average dual time from a comparable period in 2019. It has been a frustrating issue for us and the standpoint is costing us our ability to serve our customers in a bigger way and put more volume across our network execution there. So again, we’re cautiously optimistic that will also start to improve. We’ve taken some actions in our network to bring favor and more focus on those who can do it most effectively and we’ve done some things to encourage our customers financially with some accessorial approaches to be a bit more judicious with our assets, so. But that still is a limiting factor if we can’t get cooperation from our customer community there.  Probably on the equipment front, while we feel really good around the priority, we were given to get half of our new tractors in here at the first half of the year, that’s still an item that we have to stay on top of, because it’s a very fluid situation. And probably of that equipment, the intermodal container would probably be Steve in our judgment probably the most questionable whether we can get to the numbers that we’d like to get to there by year-end.
Bert Subin: Okay, I appreciate that. Maybe shifting gears for my follow-up. What do you think sets your Logistics business apart from other providers? You know brokerage is clearly strong across the industry right now. It seems like a few platforms are ultimately going to sort of emerge with the bulk of share. Maybe why do you think Schneider is going to be one of those platforms? And do you see Logistics becoming your largest item, you know at least by revenue over the next couple of years? Thanks for the question.
Mark Rourke: Thanks Bert. Well, we certainly believe the asset-light portion of our portfolio, the combination between Logistics and Intermodal as we’ve been discussing and outlining for a couple of years now will become an increasingly important part of what we do in a larger share and mix of what we do, and I think we’re demonstrating that along this path.  The differentiating element of our Logistics business and particularly our brokerage business is that for the better part of the decade we’ve been building toward something that can be a stand-alone market, and that’ll simply be an overflow of our assets. So they are very much self-sufficient across virtually every mode of transportation. What we’re taking advantage of and certainly doing is blending those lines a little bit more purposefully. And within our strategy, as we put solutions in front of our customers, as we think about the orange box and how to use our drivers and select third parties, and so while we don’t expect it to certainly move to an overflow model, we really like its self-capability that we’ve created over time there.  We do believe we have opportunity, and we’re seeing it certainly as we play it out here in the last couple of quarters to accelerate that even further with how we bring this portfolio of asset-heavy and asset-light together in a way to support the customer. And I think that is what is so great about being – having a very tech-savvy, very strong people organization about Logistics, but also being tied to a great platform with assets, both intermodally and over the road. It’s how you bring that leverage together and I think we’re really starting to see the benefits of that and our customers are enjoying it.
Bert Subin: Thank you.
Operator: Our next question is from Ravi Shanker with Morgan Stanley. Please proceed.
Ravi Shanker: Great! Good morning, everyone. A couple of questions on the cycle. Steve, I think you said in your comments that you’re constructive on the set-up into 2022. Is it too early to get the very first feelers on what 2022 pricing looks like? Are you confident that it can be positive year-on-year despite having a very difficult comp? And also kind of if there is risk to the cycle, do you think it’s more likely to be on the demand side or the supply side?
Steve Bruffett: Yes, this is Steve. I’ll start with that and Mark can finish with additional comments. But it is a bit early I suppose to provide much color commentary about 2022. At the same time, the capacity constraints that we’re experiencing and have experienced for a while, I don’t think there’s any quick solution for those. And so that would lead me to conclude that it would be a demand-driven event, if the market conditions were to change, so.  At the same time, our expectation is that market conditions remain much like they are currently throughout the rest of this year and beginning into next. We may begin to experience a bit more seasonality in 2022 that’s more typical. We haven’t been in a typical seasonal cycle for, it feels like two years now, but we may see some of that return in 2022. But outside of that, I think the market condition overall remains healthy and strong and I would think that would result in a positive rate environment for 2022.
Ravi Shanker: Got it! That’s great color. And on TuSimple, Steve I just wanted to confirm, are you saying that the guidance does not include the $0.08 that you had in 2Q in EPS as well? And also maybe a bit of a longer-term follow-up to market. Can you kind of share what work you’re doing with TuSimple? Kind of what the strategy is there? And kind of how confident you are about being able to roll out that product in a 2024 time frame? Thank you.
Steve Bruffett: Yes, this is Steve on the first part of that. And to echo what I said earlier, our full year guidance does not rely upon any gains from any of the equity investments that we’ve made.
Mark Rourke: Ravi, as it relates to the autonomous world and technology, we’re very, very much on the front end of that. So our intent of being involved and certainly respect certainly what TuSimple has done to get to this stage and the promise that it holds, and we’re just in the early elements of the engagement and learning together about what the potential is and how business models and how we might apply and we are confident. So I don’t have a lot to share with you there yet, but I am confident that we have a lot of the ingredients that I think are necessary in the new world, whatever that may look like. The ability to manage networks to include – people like to talk a lot about the power of the trailer network and how you manage that as important and in some cases even more important, and having a distributed maintenance network and facility network and the things that it takes to do some things to support that type of business model potentially across the country.  All of those things that we can do today, I think maybe our services business becomes even more important into the future because of what we can bring to bear there. But that will develop over time and we’ll I think have more to share in future periods.
Operator: Our next question is from Todd Fowler with KeyBanc Capital Markets. Please proceed.
Unidentified Analyst: Hey guys. This is Zack on for Todd. Just a quick question on the guidance. I know it doesn’t incorporate any gains related to TuSimple, but in terms of equipment gains, what are you guys expecting for the remainder of the year? And then if I could ask on Intermodal, I know you said pricing is up about or implemented about 80%. But I guess, how are you guys thinking about margins as we go through the back half of the year here, just considering some of the rail costs and some of the disruptions there. Thank you.
Steve Bruffett: The first part of the question there regarding equipment gains and so on, I would lump that into the broad category where we’ve said we expect current market conditions to persist through the remainder of this year, and so something along the lines of what we’ve been experiencing recently is inherent in our comments.
Mark Rourke: On the Intermodal front, you know my comment is that we have renewed our contractual book up to about 80% as we finished the quarter, not all of that implemented. So we still have the full implementation of what we’ve accomplished plus what gets renewed in the third quarter, and we expect some seasonality clearly to take place in the fourth quarter retail season, and we feel we’re really well-positioned. We’ll feel better if we get our boxes turned faster by our customers and get some additional boxes in time to take advantage of what we believe the market will bear relative to demand, and we’re executing really well with our dray fleet, which we think is always a great advantage to us to be in control of our assets on the dray side to the north of 90% of the time. And so feel very well-positioned and feel that the market will support us, and we’ll finish the year I think quite strong in the Intermodal business.
Unidentified Analyst: Okay, that’s really helpful. And then just on the driver school front, I think you guys said that you bought cost in the second quarter. I guess what was that in the second quarter? And then going forward, what is the cost to run those driver schools? I guess, what’s the capacity? I’d be curious to just hear a little bit more color there. Thanks.
Mark Rourke: Yeah, to stand up with instructors and process and change your recruiting profile a bit to be more accepting of that type of profile takes some adjustments, and that really is what occurred in the second quarter. And that’s an ongoing – then you kind of move into the execution phase and the ongoing infrastructure to bring that non-CDL holder through.  So it’s not our full answer, it’s just a partial answer, but one that will give us access to some of the capacity that we have not been tapping into, really since about 2009. It’s been that long since we’ve started up our academies in a meaningful way like we’re talking about here. So it’ll be a contributing factor on the driver front in the second half of the year that we did not have in the first half.
Unidentified Analyst: Thanks guys.
Operator: Our next question is from Ken Hoexter with Bank of America. Please proceed.
Ken Hoexter: Hey, great! Good morning Mark and Steve. So can you, sticking with Intermodal for a second, maybe talk about the process of getting those extra markets. I think you mentioned 1,000 or 1,500 boxes in the second half of the year, obviously hearing some difficulty among your peers. It’s certainly been a great step-up in yields. So then just a second question there is just your thoughts on the rail service and what you’re seeing in fluidity?
Mark Rourke: I’m sorry, Ken. The first part of that question, I’m not sure I captured just...
Ken Hoexter: I guess, to dig into your comment, you mentioned we’re going to do some things to try to get our boxes here. Maybe just walk us through just – I mean you’ve only taken what was 380 boxes year-over-year. You’re talking about getting up a significant amount in the second half. You said we’ve got some things we can do to get them over here. Can you walk us through how you get that sizable step-up in box delivery given the tight supply chain? Just I want to understand your confidence and the ability to get them.
Mark Rourke: Yes, we have just about 1,000 boxes more year-over-year as we finished June and the range that I referenced in my opening comments of 1,500 to 3,000, they are built and ready. It’s just a matter of how we find space and the supply chain on that type of box to get it stateside in time to make an impact on 2021.  And so we’ve got a number of things we’re working on and competitively I prefer not to share what those are until we get those things all locked in and locked down, Ken, but we have a reasonable amount of confidence probably more so on the lower end of that range than I do on the high end of the range of the 1,500 to 3,000. But as we’ve learned, particularly when you’re dealing with international that things can go bump. And so until you get it, see it on the ground, you should be a little bit cautious, but feeling reasonably confident on the first half of those.
Ken Hoexter: And the fluidity on the rail service?
Mark Rourke: Yes, actually since Memorial Day we’ve seen improvement, particularly in the West on the steady. Now there’s been some weather related and some particularly around the heat-related issues that have had some events that have slowed this down. But overall if you look at it on a longer-term basis, it is improving.  And similar comments in the East, although there was a little bit of difficulty in June, and that’s a return to its typical fluidity here as we got into the month of July. And really, in the East, we’re just – more importantly, it’s how well we operate on the street with dray, because it’s a bigger component of what gets done based upon the length of the haul in the East. So better and improving, but it’s certainly got room for improvement to get back to what we would consider a more historical performance.
Ken Hoexter: And then just my final one, if I can. You mentioned the 5,500 target in network and obviously that’s kind of aspirational if you can get the – it sounds like you’ve got the driver schools up and running. What about thoughts on the dedicated size and stability there? I mean obviously you’ve had some nice – you mentioned 200 fleet growth sequentially. Do you still see more coming in there? Any difficulty in seating and operating there and maybe talk about overall truck utilization.
Mark Rourke: Yes Ken, we have some challenges there as well on the driver front, no doubt about it, and one of the items that our network does serve is a place for opportunities for our drivers and dedicated Intermodal to look for transfers that make sense for them and so our network serves us somewhat of a feeding ground, if it makes sense geographically for where the driver lives. So we want to continue to have a career path for our value drivers. And so we see some accelerated – and we had seen some accelerated transfer activity as we’ve been successful in adding to our book and dedicated.  We would expect that we’re going to continue to see additional adds every quarter for the remainder of the year, both on what we’ve sold and then what we’ve already sold, we’re in the process of seating. We’re having some success there and obviously because of the type of position, the regularity of the work and the regularity of the income, it’s more attractive for the driver community and those type of configurations that we want to make sure we’re making those available to our fleet. 
Ken Hoexter: Thanks a lot. I appreciate it guys. Thanks again.
Operator: Our next question is from Scott Group with Wolfe Research. Please proceed.
Scott Group: Hey! Thanks, good morning. Steve, I just want to go back to the guidance. I just want to make sure I understand it. So when you talk about an even distribution, the segments in 2Q, 3Q, 4Q, you’re just talking about like the percent of earnings that’s Truckload versus Intermodal, that’s Logistics and that you’re expecting to stay constant. Is that what you’re saying or are you saying that the absolute level of Truckload, Intermodal and Logistics earnings stay what they were in the rest of the year?
Steve Bruffett: Yes. What I’m speaking to is the seasonality dimension that I talked about a little bit earlier on the call. If there was such a thing as a normal year, again, you know first quarter would be the weakest for us from an enterprise earnings standpoint. Second and third quarters look pretty similar to each other most of the time in terms of earnings and EPS.  And then the fourth quarter is significantly stronger given the frothiness and ongoing market strength that we expect – that we incurred in the second quarter, and we expect to continue throughout the year. That’s negating some of those seasonal factors that we normally experience. It’s like it’s the fourth quarter kind of playing itself out in multiple quarters in a row. So if that helps add some context to what we’re trying to convey.
Scott Group: I guess. I apologize, I just want to make sure I’m understanding. So are you talking – I’m talking about operating earnings. I’m forgetting about the $0.60 of EPS you did with the two simple gain that turns into a mark-to-market loss in the third quarter. Just on like trucking, Intermodal operating earnings, do those get better as the full impact of pricing shows up in the back half of the year?
Steve Bruffett: I think there’s certainly room for sequential improvement in earnings, and nothing I’ve said has anything to do with TuSimple, so let that go. This is all about our operating segments.
Mark Rourke: I think maybe Scott, I’ll take a crack at it. I think what you’re pushing on, now we would expect in our segment operating performance to have lift in operating performance and earnings in the second half of the year. Proportionately, we don’t believe it will be as dramatically different fourth quarter as is typical because of the current condition of the market and the capability of what we have available at Intermodal boxes and all the other, but we will see and expect to see sequential improvement from here.
Scott Group: Okay, that makes a lot more sense, thank you. And then just last thing. When I look at the for-hire trucking business and the revenue per tractor up 23% year-over-year, are you guys seeing some improvement in utilization right now and would you expect that to continue?
Mark Rourke: Yes Scott, we are seeing five and six year highs in utilization in our solo fleet, which is a predominant portion there. But when you put the mix component of having less teams and less owner-operators who generally are out more often than company drivers from time at home standpoint, our mix has actually in the absolute metric itself is flattish. But on the solo side, we are absolutely seeing a stronger utilization than we’ve seen in as I mentioned, the last five or six years. 
Scott Group: Okay, helpful. Thank you guys very much. Bye-bye.
Operator: The next question comes from Brian Ossenbeck with JPMorgan, please proceed.
Brian Ossenbeck: Hey! Good morning. Thanks for taking the question.
Mark Rourke: Hi Brian.
Brian Ossenbeck: Good morning. One for you, Mark. We’ve seen some of your peers kind of diversify the business as they’ve – as everybody has had trouble keeping drivers in the seats in this sort of environment. But you’ve always had the three segments as you mentioned, stand-alone, diversified operating at scale with the tech overlay. So just wanted to get your thoughts on the multiyear progression here. You’ve highlighted more earnings growth and revenue contribution from asset-light. How do you feel about the general portfolio absent the cycle right now, maybe on the longer-term perspective? Will you be looking potentially to add more or to grow from here?
Mark Rourke: Yes Brian, thanks for the question. You know I think there are some very good headwinds as we get to “whatever more normal time,” particularly with our ability to execute this portfolio. But on trend we do believe more of our revenue and earnings contribution over time will come from Intermodal and Logistics and our primary focus on the truck side on growth will be on those configurations that I think are most defensible over cycles, which is dedicated in some of our specialty services on the truck side. So it doesn’t deemphasize truck, it just puts the growth more proportionately coming from the asset-light and the asset – non-asset part of our portfolio. And as mentioned, we’ll continue to look for those ways to bring synergies across with the orange box to blend those things effectively for our customers. But you look at the trends of ESG and the things that are environmentally, we’re still very, very bullish on Intermodal’s growth pattern. We think we can double that business over the next eight or nine years and that’s our intention. So you’ll see that progressively play out in our view over time.  And we have great momentum in our third-party offerings and logistics, and we would expect that to continue, particularly with the advent of bringing the orange box and a power-only configuration where it makes sense for customers, carriers and our network. And that’s really what we’ve been talking about for the last several years and it’s starting to really show up in our numbers.
Brian Ossenbeck: Okay. So it sounds like more of your focal points are where you already are right now as opposed to maybe expanding the reach into a different mode or material deviation from the current capabilities?
Mark Rourke: I think we have lots of runway ahead of us. So as we think about the aggregation of freight, aggregation of demand, both our assets and others, I think we have lots of runway in our current approach.
Brian Ossenbeck: Great! And if you don’t mind just providing a quick update on FreightPower. I think you launched the shipper side last quarter, so maybe some progress update on that and some of the stats and metrics that you can share. Thank you.
Mark Rourke: Yes Brian, we launched in the brokerage third-party business as you mentioned this quarter. We’re more mature on the carrier side and I think we’ve had over 30,000 downloads and we’ve got some great metrics relative to the stickiness of that, which probably won’t share on this call, but – and then as mentioned we started on the shipper side and just I believe this week we’ve started now on the van side on the shipper, our network business side.  So we’ll continue to roll out FreightPower for shippers, particularly focused on that long tail shipper across our remaining asset offerings between now and early first quarter. And so we’re just a bit more mature on the carrier side of that, but early returns. I get to see every morning we’re booking freight with customers that we’ve never done business with on the asset side of the business, and that was absolutely the intent. 
Brian Ossenbeck: Okay, thank you for the time Mark. I appreciate it.
Mark Rourke: Thank you.
Operator: Our next question comes from Jon Chappell with Evercore. Please proceed.
Jon Chappell: Thank you. Good morning. Mark, just starting with the truck delivery schedule. You know if we look at network for starters, it’s down about 600 since the end of the year. I recall you saying your kind of halfway through your deliveries for the year. So how do we get back to 55 by the end of the year if it’s already shrunk by 600 and you’ve already taken delivery of half? And does that mean that maybe you’re not as big of a seller in the market, so there’s kind of no net reductions and every truck that delivers is incremental positive?
Mark Rourke: Yes, my reference on the trucks was half of our replacement value or our replacement units, which we still have capability on the gross side that – as to your comments will be more prevalent for us and dedicated than it has been in network.  So we have the capability relative to get to where we want to get to from a power standpoint. That’s not a concern. We have some levers that we can reasonably pull there to do that. What we’re trying to focus is on the capacity, the driver side of that equation, particularly on the network side, so which is part of the reason to broaden our reach into the non-CDL driver pool.  So certainly not going to be an easy task, but we have seen stabilization and we would expect to start to chip away at that. And I’ve been really also encouraged by the improvement of the team configuration, which is also very much a focus, (a) because it provides great value to the customer, but it’s a high productivity, deliver a value back to the business.
Jon Chappell: Okay, thanks. And then on the Intermodal side, July has kind of been a weird month with service suspensions and metering and massive congestions and chassis issues, etc., etc. How is your July kind of shaping out? I mean, do you have kind of preferred status with BN and CSX that kind of helps you be immune to some of the challenges that are happening throughout the supply chain or are you seeing an impact as well in July and are kind of hopeful of a catch up as you go through the rest of the quarter?
Mark Rourke: Yes, I wouldn’t characterize that as being immune, but we also find the value of what we do by aligning our spend primarily with one in the West and one in the East does give us some advantages over others. And our ability to be a really good partner to the rail, which is what we focus on a great deal, and that’s how effective we are within the ramps and with on the street, so that we’re doing everything in our power to be effective for them, so they can be effective for us and we certainly leverage what we do to try to get that type of arrangement with them.  So we’re feeling pretty good. We’re not immune to some of the things that you mentioned there, but we’re seeing some improvement and we’re still very bullish on the quarter.
Jon Chappell: Okay. I mean, that’s all I was just going to ask. I mean, are you exiting July at kind of better service levels than you entered July?
Mark Rourke: We are. 
Jon Chappell: Okay, great. Thank you Mark.
Operator: Our next question is from Jack Atkins with Stephens, please proceed.
Jack Atkins: Great! Good morning and thank you for taking my questions. So Mark and Steve, you know I appreciate your comments around the seasonality of the business this year. But Mark, I’d be curious to get your sort of feedback from what you’re hearing from your customer base around their preparations for peak season. We’ve kind of heard some different things around peak this year just given low inventory levels and just obviously the volatility with supply chain. What are your customers telling you around their plans for peak this year, if you wouldn’t mind sort of sharing some high-level thoughts there?
Mark Rourke: Sure, Jack. Thanks for the question. And it’s – as you mentioned, it is a little bit of a different time relative to their confidence, maybe of having certain promotional activity that they may typically have because of the reliability in the supply chain. So we know some of our customers are thinking differently about that.  We also know some of our customers have maybe some improvement in inventory, but it’s in the wrong places and maybe it’s not all the right things, because they’ve been given some marching orders to their buyers to get what they can, when they can get it, even outside of typical seasonality type of products and then get it – they’ll get it in where they can get it in, which means at times, even though there might be some inventory here, it’s not in the right places, and I think you’re seeing – we’re seeing some of that manifest itself in higher propensity for mini bids and those type of reactions to having inventory in the wrong places.  So it’s a customer-by-customer thing, but it certainly doesn’t feel typical or normal and we’re going to I think fight through many of the same things we’ve been fighting through here between now and the end of the year.
Jack Atkins: Okay. No, that makes sense, and I appreciate that commentary. I guess for my follow-up question, just around Intermodal box turns, and again I appreciate your comments there throughout the call around fluidity, but I guess I’m more interested maybe longer term with just changes to rail networks with precision scheduled railroading over the last several years. What do you think is the right sort of long-term way to think about box turns on a monthly basis or however you want to think about it relative to maybe 2018 or 2017? We’re running below those historical levels. And just curious if you think we can get back to that? If that’s reasonable over the course of the next couple of years?
Mark Rourke: Yes Jack, I think it’s reasonable and it’s something that we should be striving for. I would tell you, our dislocation of boxes and certainly there’s rail impact here on reliability, no doubt about it. But a larger percentage of our impact has been just on the dwell time when it’s been in trailer pools at our customer and that is beyond any standard deviation of any statistical assessment you want to do relative to what we’ve experienced here and certainly are experiencing presently. So I think that’s the more gating feature for us, not that the rails can’t get better.  But precision schedule railroading doesn’t get in our way, in our view there. It’s – if we can get reliable service and regardless of almost what that transit is, but we get it back consistently, we can set our customer up, we can set our network up and we can set up our execution around dray to be pretty darn efficient with precision schedule railroading. We just got to get our customers to get in a position where they can get fluid in their pools. 
Jack Atkins: Okay, that sounds great. Thanks again Mark.
Operator: Our next question is from Thomas Wadewitz with UBS, please proceed.
Thomas Wadewitz: Yes, good morning. I wanted to ask you about, you know it seems like a lot of things are kind of going back to the labor market, and it’s not that clear when it’s going to resolve or improve the situation. I think one thing that could have an impact on the margin would be the federal bonus unemployment payments. And I’m just wondering if you’ve seen any impact in the states that have taken the earlier approach of just continuing with payments in like June, July. Are you seeing any more kind of responsiveness or interest in your programs in those states or is it kind of too early to tell on that?
Mark Rourke: Yes Tom, I don’t know if we have exceptional insight or data to share with you there. We do know from some of our trade partners, particularly the for-profit and public school programs, well certainly – their opinion of that, it certainly has impact and that they may have seen some improvement when that’s over. We do hear in some of the recruiting discussions that we’re in with folks that will call us back in September when this expires and so we have some data on that, but that’s – I would characterize that data as more anecdotal than enough that I’d be confident to give you any other insight, but we certainly hear it. There’s no doubt about that.
Thomas Wadewitz: So your view admittedly on kind of limited data would be that there probably will be an impact that’s helpful this couple of months and then after early September when it’s fully rolled off?
Mark Rourke: You know the reason I don’t have a great deal of confidence there is, you know we don’t see that from our associate base or driver base. That’s more on the recruiting high line than it is on what we see with a very broad geographic dispersion of our professional staff across the country. So that’s why you kind of get those anecdotes, so it’s – I wouldn’t put too much into it.
Thomas Wadewitz: Yes, okay. And then I wanted to ask you on kind of – I guess part of it’s a stake holder question, part of it is a shipper perspective. I don’t know if shippers are looking at a lot to 2022 at this point, but what’s your best read on the kind of potential for Intermodal shift in 2022? Do you think that there will be the opportunity for Intermodal to take share from truck in a more meaningful way? Do you think shippers want to do that or have some of the Intermodal challenges been kind of a detriment to that? And I guess, you know we generally hear people say it’s going to be strong through Chinese New Year or through the peak, but it seems like there’s not tons of visibility to what happens after that. So just I guess you’re kind of opinion on cycle and maybe shipper behavior as we go into 2022.
Mark Rourke: Tom, let me maybe tackle that first part of the question. We would surmise through our experience and our discussions with shippers that we are seeing and presently have seen here for a good portion of this year, more conversion from intermodal to over-the-road, because of box availability or if there’s any level of sensitivity on transit. There’s been more bias towards going earlier to Intermodal – excuse me, from Intermodal to Truck and so we think there’s some natural and when that stabilizes for typical freight to come back to Intermodal. It would be one element. And the second element, our sustainability efforts and outreach and discussion with customers in the last six months would outstrip anything we’ve done in the prior five years relative to interest from shippers to understand how to calculate and the value of going from Truck to Intermodal because of what their organizations have laid out as their plans on CO2 reduction or whatever their objectives are.  And so again, on trend, those two items I think would suggest that we have some sustainable and systemic opportunity for more over-the-road conversion to Intermodal.
Thomas Wadewitz: Right, okay. So the best you can tell you’d be pretty bullish on intermodal volumes or there’s potential for that to be strong in 2022?
Mark Rourke: I do, I do, particularly if some of the challenges that we’re experiencing today kind of gets through the system. And then as it relates to the back end of your question, I probably don’t have any material broad-based assessment. Obviously, we’d done some conversations with customers as we’re thinking about 2022. But I think folks certainly through the first half are pretty confident and feel good about the economy, the consumer, and again I would echo Steve’s comment. I think we have to take some shock to the system, shock to the economy on the demand side for those sentiments to change.
Thomas Wadewitz: Right. Okay, thank you for the time and perspective. I appreciate it.
Operator: The next question is from Bascome Majors with Susquehanna Financial Group. Please proceed.
Bascome Majors: Good morning and thanks for taking my question. Just one housekeeping item on the guidance here. The last time you had a really strong year, the other operating segment was a big drag on earnings, and I believe the explanation was, it was a good year and corporate incentive comp was a driver of that, but this year that’s been a slight contributor. I’m curious what else is running through there? What’s different? And any thoughts on where that might shake out for the year based on what you’re guiding today? Thank you.
Steve Bruffett: Yes, sure. That’s a fair question, Steve here. And so a couple of things. One of which is that our leasing company is in that other segment, and they’re having a nice year, and so yes, that incentive compensation is amounting to be a similar figure as it was in 2018, but it has been largely offset year-to-date by the performance of our leasing company. So those are the two biggest factors within that other segment. There’s plenty of other cats and dogs in there, but that’s the main theme of what’s going on in there.
Bascome Majors: Thank you for that. And in that leasing business, any thoughts that you can share with us on duration or whether that’s more transactional? Just trying to think about how much of that is cyclical and how much of it is structural work you’ve done there? Thank you.
Mark Rourke: Yes, I would suppose there’s elements of both. I think the team has done a great job in leveraging the environment. The environment itself would lift the tide a bit, but I think the team’s response to it has put an extra edge on their performance this year. So I think that we offer a solid program of support and services to the owner-operator community, and we’ll continue to do so. So I think it’s a good supplier of capacity and it’s a good part of our business. 
Bascome Majors: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session and this will end today’s conference. Thank you very much for your participation and have a great day!